Operator: Ladies and gentlemen, thank you for standing by and welcome to the Siyata Mobile 2019 Year End Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. [Operator Instructions] Please be advised that neither the TSX Venture Exchange nor its regulation service provider as that term is defined in the policies of the TSX Venture Exchange accepts responsibility for the adequacy or accuracy of this release. This conference call may include forward looking statements that are subject to risks and uncertainty. All statements within other than statements of historical fact are to be considered forward-looking. Although, the Company believes the expectations expressed in such forward looking statements are based on reasonable assumptions, such statements are not guarantees of future performance and actual results or developments may differ materially from those in forward looking statements. Factors that could cause actual results to differ materially from those in forward looking statements include market prices, continued availability of capital and financing in general economic market or business conditions. There can be no assurances that such statements will provide accurate and therefore readers are advised to rely on their own evaluation of such uncertainties. We do not assume any obligation to update forward looking statements except as required under the applicable laws. Thank you. I'd now like to hand the call over to Marc Seelenfreund, please go ahead.
Marc Seelenfreund: Thank you, operator. Good morning everyone and thank you for joining the Siyata Mobile 2019 year end conference call. Today, I'm joined by our CFO, Joel Bernstein; our VP Sales, Glenn Kennedy, who will provide an update on the sales funnel and the sales opportunities, and we'll answer questions at the end of the call. First and foremost, understanding the impact COVID-19 has had on families, partners, employees, shareholders, and our customers around the globe, we truly wish to pass on positive thoughts and hoping of a strong recovery in both health wellness and finances. While the Company did not grow its revenue year-over-year, we certainly made significant advances for their objectives in becoming a global leader of Push-To-Talk over cellular devices and connectivity for the enterprise and first responder workforce while growing our portfolio of next generation devices and monetizing this through our carrier distribution and software partnerships. As many of these numbers were highlighted in yesterday's press release, I'll keep this short to ensure that we have ample time for questions-and-answer period. For 2019, Siyata reported just over $30 million in top line revenue, down approximately 8.5% from the previous year of $14.2 million. This decrease in sales was attributed to lower 3G sales as the Company continues to shift toward its 4G portfolio product line, which includes the in-vehicle devices, rugged handsets, and cellular signal boosters and higher value markets. This includes North America and other countries where strong carrier, distribution or software partnerships greatly enhance our revenue, margins and profitability. The higher margin opportunities in these markets helped to increase our gross margin from 14.5% in 2018 over 25% in 2019, a 50% increase in gross margin respectively. This was mostly attributed to the higher percentage of sales in North America versus our traditional markets where we sell mainly legacy products. We anticipate for this trend to continue as we further penetrate our target market with a growing list of carriers, distribution and software resell partners and bring new product lines into these channels. These improved margins help lessen both our adjusted EBITDA loss and net loss for the year by about $1.8 million and $1.4 million respectively. We ended the year with $6.7 million of working capital and about $3.5 million in cash. At the end of the year, the Company completed a $7.5 million convertible debenture, which converts a $0.45 a share with over $3 million of that rolled over from the existing convertible debenture, which matures on June 28, 2020. The recently announced convertible debenture of $1 million convertible at $0.30 per share was done to pay the outstanding note due on June 28, 2020, and is anticipated to close before that time. While the Company saw a decline in year-over-year revenue, we made significant advances towards our objectives of becoming a highly profitable and global leader of innovative push-to-talk over cellular devices and cellular connectivity for the [indiscernible] first responder workforce. With the largest hurdles overcome such as government approvals, network approvals, technology integration approvals, supply agreement, and distribution and partnerships in place, we're currently in a position that we can finally focus on sales, growth and profitability. During the re-class of devices that are approved in particular in the U.S. market on FirstNet, AT&T and Verizon Networks, and certainly the only dedicated in-vehicle smartphone device available in the market today. I'm extremely proud of our team's ability to get through the large scale challenges of reaching these milestones, which positions our company and our shareholders to disrupt this multibillion dollar market opportunity. By no mean, the decline in our 2019 sales representative lessening demand for Push-To-Talk devices, negative macro headwinds for carrier adjacent or negative customer feedback, in fact, we believe is quite the opposite and are more excited now than ever of our prospects for strong growth and catalyst in the coming months and years. Before I'd like Glenn Kennedy, our VP of Sales step in, I want to point out our press release from yesterday, which announced our first ever customer video testimonial alongside AT&T and FirstNet, which we believe shows the enthusiasm all parties have around the UV350. If you have not seen this video, the link is in yesterday's press release, and I urge you to watch the short video.
Glenn Kennedy: Thanks, Marc, and thank you everyone for joining the call today. I would like to share some details about our sales pipeline for our flagship in-vehicle device, the UV350, to give our listeners some clarity on where we are and where we are growing. But before I do, please be aware that our business is not only about the UV350 in-vehicle device. In fact, we have growing sales opportunities in our two other product categories, which are rugged handsets and cellular boosters. So, now, I will address those categories in a few moments. Specifically, for our UV350 sales pipeline, our goal is to build a pipeline of sales opportunities in excess of $100 million by 2022. Today, we have a pipeline of UV350 opportunities totaling over $40 million. And literally every week, we are updating our pipeline as we're introduced to new opportunities with our wireless carrier partners. For example, if we hear from an AT&T account executives then an electric utility is considering UV350 for their fleet of let's say 200 vehicles, we then further validate the opportunity, which would -- and it would then get added to our opportunity pipeline so that we track it and follow-up with the customer in the AT&T sales team. Today, our $40 million opportunity pipeline is split into two categories. There are opportunities which are later in the sales process where we have already initiated a proof-of-concept trial, which means that we have installed one or often more of our UV350 devices into their vehicles for the customer to test. These opportunities equate to roughly $20 million of the total. The remaining $20 million plus represents opportunities that are earlier on in the selling process, but the customer has still identified an interest in our product or the verbally agreed to move forward towards a trial. For the proof-of-concept trials, we want to regularly monitor the trials and work to optimize the customer experience with installations and third-party software integration. We believe that we can possibly win at least half, hopefully even more of these opportunities that are in active trials during the remainder of 2024. For the pretrial opportunities, we want to encourage them, of course, to begin a proof-of-concept trial, and learning from our sales cycle experience, this would more than likely be 2021 sales events. Now, there's a few things I want to highlight, first from our current pipeline of more than $40 million, about 80% and more is coming from opportunities with AT&T and FirstNet. And the majority of that has come in since January, when we hired a team of three experienced salespeople based in the U.S. to focus exclusively on AT&T and FirstNet. In the five plus months that they have been with us, even through the COVID-19 season, they've been able to significantly increase our pipeline of opportunities and to strengthen our relationships with AT&T and FirstNet and their distribution channels. The second thing, we plan to do the same thing with Verizon. We received Verizon approval at the end of 2019, and we were working on hiring a sales team during Q1 when COVID-19 started. So, that will definitely be a priority, which will allow us to build a pipeline of Verizon sales opportunities as well. Today, we have very little in our sales pipeline from Verizon, but we believe that the potential with Verizon can be at least as big as what we're already seeing with AT&T. Third, we are seeing repeat orders now from customers who purchased in previous quarters, which is really encouraging to us since they would not reorder, if our solution was not performing well for them. A press release from earlier this week in fact highlighted an international ambulance customer who had bought more than a hundred UV350 last year and are now reordering more than 500 UV350 devices. And we've seen repeat business from our U.S. and Canadian customers as well. And fourthly, we are launching UV350 and more international markets. This year, we expect material revenue to begin in additional countries such as Australia, parts of Europe and in parts of Latin America, and possibly Southeast Asia as well. We've signed a distribution agreement with Motorola Solutions, Inc. to sell our UV350 device to their customers, who are looking for an in-vehicle smartphone solution that can support their Push-To-Talk app, and the first region where they're focused on is actually in Latin America. I mentioned earlier about our other product categories, which are rugged handsets and cellular boosters. With rugged handsets, we're launching the new UR5 device in multiple international markets and possibly also in North America as well. In our cellular booster business, we've seen a strong uptick in daily sales during this COVID-19 season, as many people work from home and have found that cellular signal is not strong enough to work from home. Also, we have introduced a new cellular booster, which directly plugs into our UV350 device. So we can sell this booster to UV350 customers who drive in more remote areas. All of these opportunities are in addition to the opportunities for the UV350 as discussed earlier. So just to summarize, we believe that we are at a key inflection point for sales of our three product categories, and we're very bullish about our sales opportunities in the coming quarters ahead. And with that, I will turn it back to Marc.
Marc Seelenfreund: Thanks, Glenn. That was a great overview. Before I open up the floor to questions, I have a couple of closing remarks. I recognized our share price is very disappointing and frustrating for everyone, including myself, as we're facing a lot of angry shareholders. We have seeing significant decline in valuation during these turbulent times with technology stocks on the TSXV. I assure you that I am 100% committed to turning this around, and I'm highly confident that we will do so by remaining laser focused on our goals. The opportunities that Siyata continue to grow and the macro picture remain fully intact for us to rest of the proceedings opportunity, and I strongly believe that in the coming quarters, we will be greatly rewarded with large contracts and growing sales. With that, I'll open up the floor to questions.
Operator: [Operator Instructions] First question comes from the line of Colin Tang with Fundamental Research.
Colin Tang: Couple of questions here. So my first question is, Q4 2019 revenue was just at 3 million and I did notice that was the number of purchase orders in Q4 2019 for UV350. It seems like 3G device sales dropped off very significantly in Q4. Are there any factors that are driving the steep decline in 3G device sales other than customer transaction of the 3G devices? And are you able to provide a rough comment on what portion of revenue in Q4 2019 were from 3G sales?
Marc Seelenfreund: So, this is Marc. You are correct. The 3G sales are definitely declining. That is our legacy portfolio and we expected that it was going to decline. Most of those sales are done in Israel. A little bit in Europe. And just in general, people are buying less and less 3G products. And there's -- that product has been around for about five years and there's only so many orders that we can get out of that specific product, but we don't have any plans on building on our 3G portfolio. Going forward, we have a little bit of inventory left, we're still getting some orders, but we don't see that driving the Company sales going forward. For sure, our sales in North America and specifically in the United States are going to compensate for the loss of those 3G sales. The 3G sales had gross margins of anywhere between 20% to 25% whereas the gross margin in North America, on our various product portfolio, is north of 40%, anywhere between 40% to 50%. So, of course, we're going to continue focusing specifically on North American sales. And yes, the 3G sales are going to drop off, but I don't think that that's really going to hurt our sales going forward. I can tell you that, this year, we've seen a spike again in North American sales, and I believe that already from the first quarter, North America is going to be more than 50% of our sales and it's going to be the same thing in Q2 and Q3. And going forward, our goal is to get to a point that 80% of our sales are done in North America and 20% of our sales are done outside of North America, not only for 3G products, but what we're selling outside f North America is also going to be our 4G products. So, we see a slow decline of our 3G sales. They're going to go away probably by the end of this year. And then, we're only going to be selling 4G products mainly in North America and probably only 20 to 30% outside of North America.
Colin Tang: Perfect. Thank you guys so much. And I noticed cost cutting efforts in terms of marketing expenses, salaries and employee headcount. Are these cost cutting efforts temporary due to COVID-19 or are they more permanent?
Marc Seelenfreund: So, some of them are permanent, some of them are due to COVID-19. Some employees were fired from the Company and they're not with us anymore. The whole company right now has 22 people. So, we're not a big company. Our goal is to keep our costs as low as possible and to leverage the sales teams at the cellular operators to grow our sales dramatically. So, we don't have to have a huge overhead to be able to grow our sales dramatically. So, some of the cost cutting again is permanent, some of it is temporary. And the minute that we understand that our sales are strong and that COVID is not affecting us, we will -- we might have additional expenses. As Glenn said before, we still have to hire people for the Verizon account in the United States. We don't have anybody working on that account right now. We started looking to hire person at the beginning of the year and that didn't work out because of COVID. So when that's over, we'll probably hire one or two or three people for that account because we believe that, that account could be just as big as the AT&T account, if not bigger. So in that sense, we'll have additional SG&A, but it's only going to be directed for very specific sales in North America and specifically in the United States.
Colin Tang: Got it. And just one last follow-up question here. What do you see in terms of product demand during COVID-19?
Marc Seelenfreund: That's a great question. So, our business is divided up into two segments just in general, okay. The first segment our commercial vehicles that could be a construction truck, and oil and gas truck, and logistic trucks. That part of our business is very weak right now. We got some orders. I'm not going to tell you that we didn't get any orders because we did. We even got returning orders from a construction company in Canada. So in that sense, we do have some -- we have some sales for regular enterprise customers, but that is definitely weaker during COVID-19 just because a lot of these companies are not working right now. On the other side, we have first responder and defense customers, which are all very active and sales to those customers have definitely compensated for the lost of sale that we have for regular enterprise customers. So, right now, we're much more focused on -- during this COVID period, we're much more focused on first responders, defense opportunities. And I think that that is really going to compensate as, you know, as long as COVID is going or the other customers, we can't really feel so right now. Another part of our business is the booster business and this is something that Glenn mentioned before. Our booster business with no pun intended has taken a tremendous boost, in the sense that it's up tremendously. We were out over 35% last month and I think that we'll be up over 50%, if not lower this month. And that's because people are working more and more from their home offices, warehouses. They're doing logistics after there have been cellular coverage. And just in general, people have to have better cellular coverage. And because of that, they need to have these types of cellular boosters and our sales have gotten a real lift. And we can just ask them to stay around because people now understand that they have to have better connectivity, whether in the home or in their office or in their cottage or in their car or in their commercial vehicle. And that's really driving sales very dramatically in that side of our business. So that side of our business is also compensating for the loss of business that we might have just regular enterprise customers that are not working right now.
Operator: And your next question comes from the line of Gabriel Young with Beacon Securities. Go ahead please. Your line is open.
Gabriel Young: Good morning and thanks for taking my questions. Marc, a couple of things, can you give us an update on the international government tender/contract? And if you've got an update on what the delivery schedule is going to look like for that contract
Marc Seelenfreund: Sure. So, we won a contract together with Motorola to supply government, mainly with rugged handset and with some commercial vehicle devices. We are the main supplier of devices for that tender. The tender is anywhere between 12,000 to 17,000 devices. We started supplying those devices already in Q1 more in Q2 and more in Q3, and probably, we'll be finished with everything in Q3, but a part of that was definitely done in Q1, part of it was done in Q2 and part of it is being done in Q3. So in that sense, that's not necessarily a first responder customer, but it is a government customer. And again, those types of customers working in therefore where we're delivering to them.
Gabriel Young: And just go into Motorola, I guess, for a second there, it sounds like in terms of the UV350 white labeling, distribution, you're doing some work in Latin America. How do you expect that relationship will grow, expand over the course of the next 12, 24 months?
Glenn Kennedy: Yes. It's Glenn here. I can answer that. Yes, definitely, Motorola is interested in our product because it fills a gap in their portfolio that they did not have, and we definitely expect that the growth will start in Latin America in this year. We then expect Motorola to expand that in other geographic regions. The neat thing about our solution from their perspective is that it really future proofs customers and so that's how they're positioning it to their potential push-to-talk over cellular customers.
Gabriel Young: And it is being white labeled by a Motorola?
Glenn Kennedy: No, it's actually not. They've actually asked us to sell it as a, just under our own Siyata brand. So, it's going to be called the Siyata UV350 device.
Gabriel Young: And how would the sales process, I guess, work with Motorola? They bring you part of the, go ahead.
Glenn Kennedy: Yes, we would work hand-in-hand with their sales teams. We're working on some RFPs right now and they would obviously be fronting it and quoting it to their customers. And then, we will work with them to support that.
Marc Seelenfreund: Gabriel, if I could just jump in here. Motorola, on the other side, they are very focused on selling their radio products, okay. As opposed to the cellular carriers that are much more interested to push a push-to-talk over cellular device because as you know, we're just an excuse for them to get a SIM card in the truck, right. So if what you're asking is, if we think that Motorola is going to be as big as the cellular carriers, my opinion is no, okay. I think that AT&T and Verizon are going to be far bigger than Motorola because they were laser focused right now on getting as many devices into commercial vehicles and displacing Motorola, Kenwood, Icom to a radio system that are right now and those commercial vehicles, right. So in that sense, we are definitely filling the hole for Motorola and we're definitely going with them to RFPs and we're working with them, but we're going to get sales with them. But I think that the bigger opportunities are specifically going to come from the cellular carriers. And just one last one last point, I don't know if you saw the video from yesterday that we did on with the yellow school bus, right? So, there are 560,000 yellow school buses just in the United States. The majority of them are using two-way radio systems, okay. So, now the goal of us working with AT&T, FirstNet and probably in the future also with Verizon is to go and take out those two-way radio systems and put in a push-to-talk over cellular device, right. So, that's the goal of the cellular carriers. That's not necessarily going to be the goal of Motorola who would be happy just to read the radio device.
Gabriel Young: Got you, thanks for that. Two more things for me. Marc, the UR5 rugged smartphone device, what can you tell us about, how the pipeline for that particular product to shaping up for you guys right now?
Marc Seelenfreund: So, that goes back to what replaces our 3G products, right? So, that device is going to be very popular in our Israeli market and international markets and Europe, possibly in Australia. It's a price, a cost effective device. It's IP68, it's rugged. You can clean it. You can put disinfectants on it. So, if you want to use it in the hospital, and that's one of the cases that we're using, it is specifically for hospital workers. So in that sense, we're very hopeful that it's going to be a very, very popular device. We're also in discussions to launch it in North America. So, the device can support either European bands or North American bands. And we still have not finalized that, but of course if we can get into the North American market that would be a big opportunity. So, at least, it will replace our 3G sales in our original markets. And that's, what's going to make up for the 3G sales. And the upside of that product is, if we're able to get it also into North America then it could be a home run.
Gabriel Young: One last thing. Glenn in Europe that you've mentioned, within the pipe that you're looking at, you got about 20 million bucks with AT&T that are well into the trials already. You're hoping to close about 50% of it by sometimes this year. I'm just curious, what is the pushback you're getting from customers, who have opted not to move forward with a bigger deployment post the initial trial? Or even with people that you're talking to try to convince them to do a trial, what's the pushback from the guys who choose not to put forward but even the trial?
Glenn Kennedy: Yes, I would say in most cases, when customers are not choosing to move forward with us. It's usually a case where they are saying that they are kind of putting their technology change on hold and just remaining with their status quo, their existing technology, it's often budget delays and things like that that can come in. It's very rare. I can't think of hardly any examples where the customers choosing other technologies once they seriously have considered our solution. It's usually more budget related and delays on the customer end for whatever reason.
Operator: Your next question comes from the line of Daniel Shahrabani from Fard Investments. Go ahead please. Your line is open.
Daniel Shahrabani: I just want to ask you. What is in terms of breakeven of the sales for the UV350? Do you anticipate in order to breakeven for whole fiscal year, because I think initially the goal was to hit around $30 billion to $40 billion of sales. So that means we have sales per quarter of around between 7 million to 10 million a quarter. And it seems, I mean, you guys are doing a fantastic job, but it seems that you're hitting it on every angle. But could it be that maybe we're just miscalculating the amount of demand that's out there? That's my first question.
Marc Seelenfreund: Okay, so I'll take that, Glenn. Just on a high level, we don't need to sell 30,000 units or $30 million to be profitable, okay. We only have to sell around 3,000 units a quarter, and then we're -- we're really turning the floor to really cash flow positive. Just to give you an idea, we're EBITDA for sure, okay. And for now on a run rate of anywhere between, I want to say between 1,600 to 2,000 units a quarter, that's where we are now. And our goal is to get the 3,000 units, at least by Q3. In other words, we think that it's very, very achievable certainly with the pipeline that we have right now. Like Glenn said, we have about 20,000 units that are in trials right now. So, we think it's very realistic for us to be able to sell at least 3,000 units a quarter, and then grow from there to 4,000, 5,000, 6,000 and 10,000 units a quarter. And that's very realistic, considering that we're going after a market that has over 20 million commercial vehicles, and we're the only one that's doing this, right. So then like I mentioned before, just in the yellow school market, just that the school bus market, just that vertical, we're now going with AT&T after over 500,000 buses. And that was the reason that we put that video together, together with them, okay. So, it's not that we sell $30 million; we only have to sell about just on a quarterly basis, you understand around $5 million a quarter and will already be profitable, also because our gross margins are so much higher now than compared to what they were in the past.
Daniel Shahrabani: And thank you for that. And then, just two follow-up questions. Although, you've said many times that the sales in America have a huge potential compared to Canada. How come we're not hearing or we're not hearing, the integration or a [indiscernible] roll up with Dell Canada with that's the largest carrier in Canada? And are you seeing any improvement in sales in Canada, let's say with first responders or with, I mean, you mentioned couple of commercial companies like the construction, but any indication that you're getting information for Canada or the test market for the U.S.?
Glenn Kennedy: Sure, it's Glenn here. I can address that. So, we do have a subset of our overall pipeline that is Canada related. Definitely, I would say, Canada has been more impacted by COVID than in the U.S. market for sure. But having said that, we've made sales real recently like we've had that significant sales in this quarter within Canada with a variety of accounts, and we have a number of other trials on the go and different opportunities that we're pursuing. So, we will be making sales in Canada. We don't press release, all of these smaller sales opportunities, sales that we make. So, we won't necessarily send out PRs every time that we have small sales, and -- but definitely for the bigger opportunities, they tend -- they are going to tend to be more in the US and in Canada, we'll definitely be sending out press releases for those.
Daniel Shahrabani: Okay. And then my last question, in terms of -- I know you guys are doing a great job, but how about in terms of marketing or your pipeline to the shared economy like Uber, like, you know, shared taxis, food deliveries, there was even, I'm sure you guys noticed, but they even mentioned that Mercedes Benz is beginning to put like communication systems in their own trucks, so that let's say, someone buy the fleet, it comes readymade. So my question is other relevant question in terms of maybe at some point that would be a target market for us?
Glenn Kennedy: So, you know, this is something that we discussed in the past. We are doing some, you know, I would say large scale trials with a major ride sharing company with over 200 units, that the trial that we're doing right now. But you know, due to COVID, it's sort of slowed down and we haven't really moved forward with them over the past couple of months. I think that that's the perfect solution, not necessarily because a lot of these ride sharing apps are just, you know, the drivers put it on their phone and that's it. They're not necessarily doing push-to-talk. They're not necessarily speaking. They're just doing data sessions.
Daniel Shahrabani: That's a good thing.
Glenn Kennedy: So to you question, I'm not sure that that is the perfect solution for that type of a situation. It is a better solution for police, ambulance, fire, yellow school buses, you know, construction companies. We're now in discussions with one of the largest steel companies. That's got trucks all over the place. We're in discussions, I don't know if I discussed this with you, with a lumber company, okay. In the United States, that lumber company is now using two-air radio systems and they have over 20,000 trucks, right. So, those are the opportunities that we're definitely going to be much more focused on and less on the ride sharing opportunities where it's not as good of a fit.
Operator: Our next question comes from the line of James Lauren [ph], Private Investor. Go ahead, please. Your line is open.
Unidentified Analyst: Hello. I just had to clarify, if we are targeting the parcel courier, such as Canada Post, UPS, Purolator, because a lot of them new systems similar to this or alternatives, and I really see them as a big market?
Glenn Kennedy: So, it's Glenn here. Yes, definitely transportation companies are a potential fit for our solution. So, we are already in discussions with some of them and hope to see some, some sales come in the second half of the year as a result of that.
Unidentified Analyst: Okay.
Marc Seelenfreund: Lauren, you're talking about like these mega, you know, UPS and FedEx, a lot of those companies, they go out and they have a device made just for them, right. In other words, they'll go to a manufacturer and they'll give them a spec and they'll say, and usually those devices are not for talking. Those are devices that they take out of the truck and they use them also for scanning packages, right. So in that sense, it's not exactly the same thing as what we're doing, okay. Having said that, AT&T has brought us a very large logistics company, we can't disclose it just because we're not allowed to disclose it, but -- and it's still very early stage. It's not in our pipeline, but we're hoping that in either June or July, we're going to do a trial with them and we'll see where it goes. So again, companies like UPS and FedEx, they have their own dedicated device, which they make a hundred thousand units for all their delivery trucks globally. That's not necessarily what we're going after, but it could be that for like a Canada Post or a U.S. Post, it might be relevant. And again, our sales are always going to go through the cellular carriers, right. We are targeting what the cellular carriers are bringing to us, right. We would never try to solicit UPS because then we would have to have a used sales force, right. So, we leverage the sales forces within the cellular carriers to get to their customers to and the only way that a customer on that size. You know, a large scale customer with tens of thousands of trucks are going to buy from us, is if AT&T make that introduction or Verizon make that introduction. And they give the stamp of approval that our device is good. And that's basically the way that we do our sales. Our sales are all B2B. So to your question, the answer is, yes, we are focused on logistics companies, not necessarily UPS and FedEx.
Unidentified Analyst: So, is there -- I was maybe just wondering, if there's potential for in the future to shift some of our capabilities to those functions?
Marc Seelenfreund: For sure, yes. And you know, I think that, a time could come, that a large company would come to us and say, we would like you to manufacture for us a large scale of volume of a very specific device because we know how to make these products, right. There's not a lot of companies in the world that know how to make a device that has very good sound quality in the car or the truck, that has data, has an external antenna, has external amplifier. Everything that we're doing is very unique and that's the reason that we're the only ones in the market, right. So could that happen going forward? Absolutely. Is it something that we're focused on right now? No. But you know, we would definitely be open to it, if the opportunity came up and we'd definitely be open to it.
Operator: Your next question comes from the line of William Wright [ph], Private Investor. Go ahead please. Your line is open.
Unidentified Analyst: Hello, I see always press releases where you get big orders, big orders, big orders, a lot goes in, but very little comes out at the other end. If you have 20 million active now, how much of that will be realized before the end of the year, in terms of absolutely producing the product and booking the profit on it?
Glenn Kennedy: Yes, William, it's Glen here. We mentioned earlier that we expect based on the existing trials, proof-of-concept trials that we have in place right now. We expect that we can win half perhaps more than half. And so that would equate to 10,000 units before the end of the calendar year. That's our target to be able to do that. So, Marc, you want to add to that?
Marc Seelenfreund: Yes. And just one more thing, William, every single time that we put out a press release, those are the devices that we're delivering. We don't just put out a press release. Those are the orders that we got and products that we're delivering, right. That is separate from this pipeline that we're working on which are all new opportunities. And as Glenn said, literally every week, we get new opportunities, okay. We mentioned Motorola before. We got an email today from one of the Motorola dealers in Asia, that they're going through an RFP and they want us to join the RFP. It just came from out of the blue. Every single week, we get opportunities from AT&T and FirstNet because when you're working with such a large scale carrier, they have opportunities across the United States, which again, we would never be able to achieve as a standalone company if we're working with these large scale operators. So again, all of the PRs that we put out about orders, those are all going to be booked this year, a hundred percent, okay. All of the pipeline that we discussed before we believe that at least half of that can get booked this year. And again, that's what's going to make us profitable. And I know, again, I want to stress. I know that the shareholders out there are in pain and I understand that and I'm also in pain, okay. But we are laser focused at this point to make sure that we hit numbers top line and bottom line and make us into a profitable company because that's, what's going to get the stock to run. And that is the only thing that matters to us. A year ago when we did our 2018 conference call, I discussed with you certifications. I discussed with you MSAs, master supply agreement. I discussed with you software partnerships, okay. We're not talking about that anymore. The only thing that we talk about now is sales, is top line revenue and bottom line profitability. That's the only thing that we care about.
Unidentified Analyst: Well, look, this is very, very, rather hysteric, but every day you see in the market, there's 20,000 shares bid for and there's 200,000 shares offered. Where in the world is all this offering and hanging over the market? Where are they getting those shares?
Marc Seelenfreund: I wish I knew. And if I did, then we would find people to take them out. I've been spending a lot of time speaking to investors. I've been spending a lot of times speaking to investors and I will continue spending a lot of times speaking to investors and finding new investors until the stock is, not higher than it was before, much higher than where it was before. Because the stock rate that was completely undervalued in our opinion. And it can't be that we're on the Verizon website and we're on the AT&T website, and we're valued at less than $15 million; doesn't make sense, just doesn't make sense. And I assure you that it is as important for us to grow our business, but it's also important to make sure that the stock goes up, and we're very sensitive to the stock. It's not that we don't care about the stock. We care a lot about the stock and we spend a lot of time speaking to investors and we'll continue doing that until we get the stock back to where it should be.
Operator: Your next question comes from the line of Chris Chu [ph], Private Investor. Go ahead, please. Your line is open.
Unidentified Analyst: Hi, I'm just wondering about your efforts with, I did speak to Glenn briefly about this, just with respect to your website. And I know that it's not the primary means of how you go about selling, but in terms of making an impression upon prospective customers. Just want to make sure, you guys hear me, right?
Glenn Kennedy: Yes, we can hear you.
Unidentified Analyst: Okay. Just in terms of the -- when you go to your homepage, there just doesn't seem to be a great deal of effort in terms of really aligning your devices to specific target audiences then I talked to Glenn about this about really drilling down and showing very clearly why the UV350 is a great device for first responders. In fact, I don't even think that we're first responders is on your homepage. So if I'm like heading up a fleet of ambulances and I go to your website, and I see a tiny little strip box that it looks like an oil rig truck. There's no alignment like from the imagery like where I would -- what I would do beside I'm the creative director. Is that I would take the device and I would align the device with pictures of first responders on multiple fronts. Clearly show how that button make sense for a first responder and do the same thing across different target audiences and use the specific language that, that target audience can relate to in explaining your devices, and it could be repetitive across where you're like, well, [Chris] does the same thing for firefighters as it does for ambulance drivers. But the more specific your content can get in terms of relating each of your target audience, each of your verticals, the more effective it's going to be. Like when I go to your website, it's just, you should be able to drill down and have a discussion with an ambulance…
Glenn Kennedy: So, Chris, it's Glenn here, maybe I can comment a little bit on that. Yes, we heard your feedback. We take your feedback seriously. We have discussed internally already about further updates to our website. Those will be planned in future and probably the specifics you and I can maybe discuss offline.
Unidentified Analyst: Just another question. One is, can we be more specific in our press releases in terms of when you do when a big order. What like, what country is it from? Like, where is it? Who is the customer? Or is it not being disclosed for privacy reasons? Can you justify that non-disclosure of that, of those details? Because as impressive as a $650,000 contract is or a $1 million contract, who's the customer? Well, who are they specifically? Are we not allowed to understand that information or get or can we not be privy to that information?
Glenn Kennedy: Yes, I would say. It's Glenn here. I would say once again, we are usually selling to the wireless carrier and the wireless carrier in turn is selling our product to specific customer accounts that are referenced in our press releases. And obviously, the carriers are very sensitive about the privacy information of their customers. So in most cases, that's not possible. There's a few special examples like the one in the press release that just went out yesterday, Marc referred to Palm Beach County Schools. So that's what we were able to name, but in general, the wireless carriers don't -- are very concerned about privacy and information of their customers.
Unidentified Analyst: Okay, another question, if I may, which would be is your comment. This was directed towards Marc, mentioned that Verizon was an opportunity but then COVID-19 came along and so that's kind of been put on the back burner. That kind of feel like, if this is such a huge opportunity to not have one dedicated sales representative on the Verizon account, targeting these key verticals. I mean, there is clearly has to be an opportunity there. As you said, you've got everything all your ducks in a row.
Marc Seelenfreund: I totally agree. And we interviewed some people before COVID kicked in, and they were not appropriate. And it's very difficult to hire a salesperson that's good and trustworthy just for meeting him on Zoom. And we've tried, but we have not…
Unidentified Analyst: Quite bit a new reality my friend.
Marc Seelenfreund: I understand. And so, it's not that we're not working with Verizon. We have a few opportunities that we're doing with them. And Glenn is specifically in-charge of that account right now. What I'm saying is that, we're not working full force for them until we're able to hire one or two good salespeople. And it's very difficult, and I'm not going to just hire a U.S. salesperson that's now working from his home office until I meet the person and I understand that he's the right person. We interviewed four or five people they were not appropriate. So in that sense, we want to make sure that we hire the right people because we want to have our employees with us for many years to come and not just hire somebody just because we want to, you know, we want to get somebody going right now, right, so…
Unidentified Analyst: I guess I know what you're saying, but what damage could a sales rep do, if you hired somebody and he has a strong track record, you're looking at his resume, he's got a clear history of success. You hire the guy. He works your for like year, he's mostly on a commission basis. Doesn't work out, you know, no loss there. I just think to put everything on the back burner really just going to slow and delay sales. I really do.
Marc Seelenfreund: I understand what you're saying and we continue to interview people. It's not that we're not speaking.
Unidentified Analyst: Hopefully.
Marc Seelenfreund: Just I haven't found the right person, and it took us -- it took us a few months also to find the right team for AT&T. And I can tell you now that we have a great team. And I prefer to, I understand, and you're right about the back burner, but we want to make sure that we're hiring the right people. And we still haven't found the right person for Verizon. So in the meantime, Glenn is taking care of this and Glenn is extremely capable as you know.
Unidentified Analyst: Right.
Marc Seelenfreund: So in that sense, it's not that it's we're not dealing with the Verizon account. We definitely are, but we still don't have that dedicated team, which is something that we need.
Operator: Our next question comes from the line of Anthony Marquees [ph], Private Investor. Go ahead please. Your line is open.
Unidentified Analyst: Hi, Marc. Could you talk a little bit about your working capital needs and how going forward, what are you going to be your working capital needs and how you intend to finance them? I think frankly, one of the reasons the stock is down is because people get the feeling that there's always an offering around the corner. I think until investors get the sense that you're self-sufficient, you're always going to have that particular worry, creating some uncertainty as to when people should start investing in the stock.
Marc Seelenfreund: Right. So, you know, Anthony, as you know, with small companies will be self-sufficient when we're profitable, right. And we think that we can be profitable already coming from Q3 and beyond that, okay. But then again, all we need to do is sell 3,000 units and then we're ready, profitable. Okay. I'm not going to tell you that we're never going to raise any more capital because it's just not true. Okay. But I can't tell you that we are looking for non-diluted ways to get access to capital so that we don't have to have the dilution in the Company. And in the MD&A, you can see that we started working with commercial bank and we got a credit line from a commercial bank. And that commercial bank has said to us that the minute that we're profitable, that credit line is going to go up, okay. So anything that we can do not to have to create dilution we will do. And the financings that we've done until now have also been small, right. We raised a million dollar, as $3 million, we don't raise $20 million at any given time, right. So, in that sense, we try to create that little dilution as possible, if we're doing in equity raise, okay. And we augment that with getting bank financing, doing debentures and doing things. We just -- I just raised money at, with a $0.30 conversion. The stocks at $0.12 and that's a dream deal for any company and still our stock went down. I wanted to rip my hair out, right. The large shell is just putting money. The conversion price is $0.30 cents. That's not really dilutive considering the stock is $0.12, right. So in that sense, we are always going to do anything that we can to have as little dilution as possible in the Company, but we have to have enough capital to be able to grow.
Unidentified Analyst: I guess the question, I appreciate the comment Marc, I guess the reason I was asking. If in fact, you get the orders, as you have them getting, if you get the type of business that you believe you could get, the potential for that business. Are you gone to be able to finance it? Or will that business potentially be slowed down because you can't finance it?
Marc Seelenfreund: We work with several carriers, right. Those are bankable customers, right. And as we reach profitability, we'll be able to factor more and we'll be able to get financing for invoices, not just for invoices, but also for purchase orders. There's a lot of things that we're doing to find ways to be able to grow the Company without having to raise equity every single time. So to your question, the answer is yes. We will -- there's no such thing. If I get an order, I'm going to get, I'm going to make sure that we supply that order, right. If you had to find banks and financing, factory, financing, the POs, whatever we have to do, we'll do it to make sure that we can fulfill those orders. Because like I said, I'll only go is to make the Company profitable, to grow our top line and our bottom line. That's all, it's not, I have zero interest in certification than MSA. I'm not talking about that anymore. We only are focused on one thing, sales and profitability. That's it.
Unidentified Analyst: Appreciate the comment, Marc.
Marc Seelenfreund: Thank you.
Operator: Next question comes from the line of Calvin Ori [ph] with Ori Capital. Go ahead please. Your line is open.
Unidentified Analyst: My questions have already been answered. Thank you.
Marc Seelenfreund: Okay.
Operator: Also we do have time for one final question from Paul Fons [ph]. Go ahead please, with Fons Partners. Your line is open.
Unidentified Analyst: I have two questions. The first is. To what extent do you think that your addressable market has dropped because of budgetary problems associated with COVID?
Marc Seelenfreund: So, I'll take that. A yellow school bus in Palm County, okay. When he drives to the county or when he goes to Miami Gate right now, okay. He loses connectivity with us two-way radio, right. So when you're taking a school bus with kids going to a soccer game in the next county over, you don't have connectivity with a bus, okay. So in that sense, people are going to have paranoid more because they want to make sure that they're connected. The same way then there are booster business, people want to be connected, right. That's what we're selling. We're selling to an activity and COVID sucks. And everybody hates it. It's bad for the world, of course. But for us in this part of this business, it's very good because everybody realized that they have to have better connectivity and that's, what's driving our work, that's what's driving our sales, right, an ambulance with connective and whatnot.
Unidentified Analyst: What you said at the beginning of the call or someone said at the beginning of the call, is that the major reason that somebody drops out in the funnel isn't because they pick a different technology it's because they had budgetary issues. And as we know, revenues to local, to localities have gone down precipitously, and they had -- there are a lot of people. The pie is shrunk and there are a lot of pensions and salaries. And you don't want to lay off a cop because you want to get new telephonic system.
Marc Seelenfreund: A 100%, but it's much, much cheaper. And this is also mentioned in the video that AT&T and FirstNet guy said it's not me. It's much, much cheaper to take hours advice than to take a radio device. Our device is subsidized by the cellular carrier. You can pay it over 24 months, okay. And it'll cost you around $500 installed, right. But that's not our sales price. So, AT&T actually subsidized it, also in Canada, the carrier subsidized the device, right. Whereas a two-way radio can cost anywhere between $2000 to $5,000, you got to maintain the radio network here, it's all over the AT&T network. So in that sense, the total cost of ownership is always going to be much, much lower with our product, and that's part of a pitch by the way, not our pitch, it's AT&T pitch, right. Instead of managing your own network and instead of having to put in his expensive radios, now you just think of a device from AT&T, you can pay it over in payments. And you know, the total cost of ownership is always going to be far lower. So, if there were budgetary problems that are going to be in our favor, right. That's not going to be bad for us. That's going to be good for us.
Unidentified Analyst: All right, second question, 3,000 units of the 350 gets you to profitability on a quarterly basis. That's what $6 million a quarter.
Marc Seelenfreund: No, no, no. It's about 1,000 unit, so it's about $3 million.
Unidentified Analyst: $3 million, okay. Now, what is that -- are the margins on the booster and the rugged handset the same or the margins on them significantly less than the 350?
Marc Seelenfreund: That's the margins on the boosters are the same and the margins on the handsets are lower. So the margins on the handsets are lower. There are going to be 25%, 25% to 30% and the margins on the boosters are the same. And again, the boosters North America, we only sell boosters in Canada and United States. And I think that everybody, all of our shareholders are going to be very pleasantly surprised when they see the rise in our booster sales because they're profitable and they're all online. We don't have to put any inventory anywhere. It's not like we're selling in stores. It's all done online. And I think that's going to be a very nice part of our business going forward.
Unidentified Analyst: When you say, talking about profitability for the quarter, and you say 3,000 units. Does that mean 3,000 units plus a certain amount of the other two products or if you sell nothing else, it would be just 3,000 units?
Marc Seelenfreund: No, no, no. We have to sell 3,000 units and then we have to get to around $5 million in sales. So, there'll be $2 million from other products and about $3 million from the UV350 and that blend would get us to profitability. And we're not far from there. We're not far perfect.
Unidentified Analyst: Okay, perfect. Let's say it sounds good. I think you guys are doing a great job and keep at it.
Operator: And this concludes today's Q&A portion of the call. And I'd like to turn the call back over to our presenters for some closing remarks.
Marc Seelenfreund: So, I just want to thank every shareholder again for being patient and the fact that you're on the call means you care and I appreciate it. And as I said, we're going to continue to be laser focus on making sure that we grow our sales, both top-line and bottom-line and reach EBITDA positive or profitability, as soon as possible, because obviously that's what's going to turn the stock around. But even more than that, as we come out with more and more press releases and large-scale opportunities, I think that's going to get the market very excited and they're going to understand and we're not going to the way. Because right now, the stock is priced as if we're going away, we're not going away. So again, I thank you all for being on the call and for being shareholders and we hope to be able to give you good news going forward in the weeks and the months to come. Thank you very much.
Operator: This concludes today's conference call. We thank you for your participation. You may now disconnect.